Operator: Good morning. My name is Liandra, and I will your conference operator today. At this time, I would like to welcome everyone to the Wayfair Q2 2018 Earnings Release and Conference Call. [Operator Instructions]. Joe Wilson, Associate Director of Strategic Finance and Investor Relations, you may begin your conference.
Joe Wilson: Good morning, and thank you for joining us. Today, we will review our second quarter 2018 results. With me are Niraj Shah, Co-Founder, Chief Executive Officer and Co-Chairman; Steve Conine, Co-Founder and Co-Chairman; Michael Fleisher, Chief Financial Officer; and Julia Donnelly, Head of Corporate Finance. We will all be available for Q&A, following today's prepared remarks. I would like to remind you that we will make forward-looking statements during this call regarding future events and financial performance, including guidance for the third quarter of 2018. We cannot guarantee that any forward-looking statements will be accurate, although we believe that we have been reasonable in our expectations and assumptions. Our 10-K for 2017 and our subsequent SEC filings identify certain factors that could cause the company's actual results to differ materially from those projected in any forward-looking statements made today. Except as required by law, we undertake no obligation to publicly update or revise these statements, whether as a result of any new information, future events or otherwise. Also, please note that during this call, we will discuss certain non-GAAP financial measures as we review the company's performance. These non-GAAP financial measures should not be considered replacements for and should be read together with GAAP results. Please refer to the Investor Relations section of our website to obtain a copy of our earnings release, which contain descriptions of our non-GAAP financial measures and reconciliations of non-GAAP measures to the nearest comparable GAAP measures. This call is being recorded, and a webcast will be available for replay on our IR website. Now I would like to turn the call over to Niraj.
Niraj Shah: Thanks, Joe, and thank you all for joining us this morning. In Q2, Direct Retail net revenue grew by $538 million or 49% year-over-year, and total net revenue grew by 47% year-over-year. Our U.S. and international businesses both exhibited strong growth, with U.S. Direct Retail net revenue up $420 million or 43% versus Q2 last year and international Direct Retail revenue up $118 million or 94% versus Q2 last year. This quarter represented the largest year-over-year Direct Retail dollar growth in our company's history, which is particularly noteworthy given the tougher comparison in Q2 last year. We are excited to see -- to share that we are continuing to gain as consumers increasingly shop online and increasingly choose to make their home purchases with Wayfair. At the end of Q2, our LTM active customer count reached 12.8 million customers, and LTM revenue per active customer reached $440, another all-time high. We view these results as signals that the investments we have been making in our three key strategic areas, namely, one, our proprietary logistics network; two, our international business; and three, in headcount to build out our product category and service offerings, are continuing to yield results and put us in a strong position to keep capturing the $600 billion market opportunity we see ahead of us. Q2 this year was particularly strong as a result of our first-ever Way Day event in April. As I mentioned on the last earnings call, Way Day performed extremely well for us, resulting in the largest single revenue day in our history. The event resonated strongly with both new and repeat customers. And as the remainder of the quarter played out, we are pleased to see that there was no meaningful cannibalization of sales throughout the rest of the quarter. We're excited to develop the event in future years. Last quarter, I updated you on the growth in our international business and in particular, our expansion in Canada. We remain very excited about the investments we're making in Canada, the United Kingdom and Germany and the response we're seeing from customers. This morning, I will provide brief updates and examples within our other two main investment areas, first, the steps we're taking to further develop our logistics network; and second, the investments we are making in headcount to improve our product and service offerings within our addressable market. Each of these initiatives involves work across many different areas. But today, I will highlight inbound supply chain services, the outdoor category and design services as 3 specific examples of the broader work we are doing. Our proprietary logistics network continues to expand, reducing our reliance on third parties and an enabling us over time to increase delivery speed, lower damage and costs and improve satisfaction for more and more of our customers. In North America, we are now operating 25 of our own last mile delivery facilities with the recent additions of Nashville and Portland, giving us coverage of 63% of our U.S. large parcel home deliveries and just under 40% of our Canadian large parcel home deliveries. We're also continuing to take greater control of the middle mile of the delivery process. In June, approximately 90% of our U.S. large parcel orders flowed through the Wayfair-controlled middle mile network of consolidation centers, cross-docks and line-haul. These improvements across the Wayfair Delivery Network, or WDN, are enabling us to offer faster and more convenient deliveries for our customers. And our customer Net Promoter Scores for large parcel items reached an all-time high in the first half of this year, which is a great endorsement of the steps we are taking. Taking greater control of the various stages of our supply chain and logistics is a core part of our strategy. One area where we are particularly focused on adding new services is the inbound supply chain. This is the physical transportation of goods from the manufacturer's factory to our warehouse. This transportation lag can be costly and complex in our category, and we are taking further steps to increasingly coordinate the process on behalf of our suppliers. This increased level of control is beneficial to suppliers, customers and Wayfair, as we can take costs out of the system, improve in-stock availability, increase fab delivery through smarter geographic positioning and free up suppliers to focus on their core areas of expertise, such as product design, sourcing and manufacturing. In 2017, we secured an NVOCC license from the Federal Maritime Commission in the United States. And this year, we secured similar licenses from the Ministry of Transport in China and the Canadian Border Services Agency. These licenses enabled us to conduct a pilot in the first half of this year where we directly contracted with shipping companies on behalf of our suppliers in shipping containers of products from Asia to our CastleGate warehouse network in the United States. Following a positive conclusion of the pilot, we are now offering these ocean freight services to a wider group of CastleGate suppliers, in addition to continuing to scale other inbound services, such as drayage and freight pickup. We are uniquely positioned to offer these services. As unlike third-party logistics providers, we are also the recipient of the inbound goods and have a vested interest in ensuring that we position those products as efficiently as possible across our CastleGate network to meet the demand we are seeing from our customers. As a result, we are developing a new supply chain visibility platform that we can offer suppliers, bringing integrated technology-based solution to processes that traditionally intermediaries have coordinated by e-mail or paper communications. This is a perfect example of what we can do with the power of almost 1,900 engineers and data scientists and a technology platform purpose built for our business. By equipping suppliers with a simple yet comprehensive level of online trackability of goods in transit, we will enable them to grow even more quickly with us as our business scales. A further area of potential expansion that we are excited about is moving up the supply chain even further by providing the consolidation of goods in China, Vietnam and Malaysia. Approximately 2/3 of inbound volume to our U.S. CastleGate warehouses is container direct today. When sending product to CastleGate from Asia, the economics of transportation typically make it cost prohibitive for suppliers to send product in containers that are only partially filled. This effectively results in suppliers facing a minimum order quantity when shipping product to CastleGate. By moving closer to the source of supply in Asia, we can receive cargo earlier in the process, and so a single container with products from multiple suppliers, enabling suppliers to ship lower quantities of a given product to CastleGate on a cost-effective basis. This consolidation yields a further key benefit of enabling us to have a more diverse range of products in optimal quantities sent to the desired CastleGate facility in North America or Europe at the lowest cost. We are just piloting the strategy at present, but we're excited by its future potential. The second main investment area that I want to turn to now are the steps that we are taking to grow share of wallet by deepening and broadening our value proposition to customers within the home category. Last quarter, I highlighted, as an example, the work that our teams are doing in the bathroom vanities category. This morning, I'll tell you about the efforts we are making to capture a greater share in the wider outdoor category. In Q2, the outdoor category has heightened appeal to our customers as they look to refresh their outdoor space with the arrival of spring. Our business model has put us in a strong position to win share across this category. Brick-and-mortar retailers typically run a much shorter outdoor season in their stores than we can, principally due to their focus on optimizing use of floor space throughout the year. As an online business, we can offer customers a greater range of products over a longer period of the year than they would see in a retail store. Brick-and-mortar retailers must pick products well in advance of the start of the outdoor season that they predict will be most popular with customers in their short outdoor sales window. We are able to avoid the risks associated with this due to our business model where we take minimal inventory. Instead, we work closely with suppliers to help them predict demand for their products on Wayfair, leveraging the vast customer data and analytics we have to help them become more comfortable preparing for a longer selling season than they would previously have worked to. We also use data to help suppliers quickly react where we see popular trends or runs on specific items to ensure we avoid out-of-stocks and maximize sales. Outdoor is a broad category and, as a result, is well suited to the endless aisle of products we can offer to customers. Outdoor furniture, such as dining tables and patio seating, proved to be an early success for us. And as we have scaled our business, we have seen attractive opportunities to offer customers a wider range of products, such as outdoor decor and outdoor structures. Products in outdoor decor and structures can range from lower ticket, lower consideration items, such as garden ornaments and bird feeders, to higher-priced more considered items, such as sheds, gazebos, hot tubs and saunas. We are enjoying early success in these categories with, for example, over 13,000 gazebos and 7,000 hot tubs sold on our sites over the last 12 months, and we believe there is considerable opportunity to scale further. To accelerate our growth in new categories, we have been hiring new people to develop dedicated cross-functional teams across areas, including merchandising, marketing and engineering, as well as specialized customer service staff. In outdoor structures and spa where products typically retail for thousands of dollars and where technical specifications are often critical to customers, we have invested in rich visual merchandising and product information to give customers the confidence to make informed purchase decisions. Delivery and installation are also critical parts of the overall customer experience in this category where products like a hot tub or sauna can have specific technical requirements and routinely weigh over 500 pounds. We're continuing to enhance our offering in outdoor decor structures and spa as we build out our teams but are very pleased with the early response from customers with these 3 categories combined having an annual revenue run rate of over $150 million. We have a proven playbook for category expansion, and we are confident in our ability to give customers an experience that will lead the way in these and other categories. In addition to hiring great people to penetrate product categories like outdoor decor and structures, we are also hiring teams to enhance the services we offer our customers. For my last topic today, I want to briefly highlight an exciting example of such a service, namely our design services offering, which launched last month. We know that one of the top reasons customers leave our site without completing their purchase is that they are not confident in their own ability to pick something that will look fantastic. They struggle with the basic question of, is this the right piece? And seek advice for confirmation. The aim of design services is to help customers achieve their vision for their home by connecting them with a friendly professional interior designer who can fully leverage our selection of over 10 million products to find exactly the right products to suit the customer's style. With experienced and vetted interior designers and easy-to-use tools, we think there's a huge opportunity to make this process much easier and more fun for customers while also giving talented interior designers access to a steady stream of projects. For many of our customers, traditional interior design services are considered too expensive, and we have, therefore, built design packages that are priced to be much more accessible in either $79 or $149 each. Customers will work closely with an interior designer who has been vetted by us before joining our platform to create a mood board and shopping recommendations and at $149 price point, a floor plan and rendered room view to help the customer visualize the final design in even more detail. Customers and designers will be able to communicate online and by phone with a live interaction being a key part of the value proposition, enabling customers to comprehensively articulate their vision and for designers to efficiently build the best possible solution. We're excited to test this offering with customers over Q3 and to further refine our proposition based on the responses we see from customers as uptake grows. We are taking a large number of steps across our business to bring customers the best possible offering in our category online, and we're thrilled with the response that we are seeing. We believe that the growth opportunity that lies ahead is considerable, and that we are ideally placed to keep winning with customers. Now I'll turn the call over to Steve to talk about our approach to customer service and sales.
Steven Conine: Thanks, Niraj. On previous earning calls, we've spoken about centrality of technology in bringing our customers the best possible experience when shopping for the home from the home. Today, I want to tell you more about the critical role that customer service plays in that experience. The home category has specific challenges when shopping online in giving customers the confidence to buy, and the absence of being able to touch and feel a product is often problematic. At Wayfair, we leverage technology, Search with Photo, View in Room 3D and Day of Delivery Tracking, to make it as easy as possible for customers to shop our category online. We believe that alongside technology, our award-winning customer service team plays a key role in bringing customers the end-to-end support that differentiates us in the market. The ability to speak with a member of our customer service team, whether it's on the installation of a chandelier or the delivery of a bunk bed, can often be a key part of the customer's experience with us. We combined both technology and customer service to achieve this in a way that has been central to our success as a business. When Niraj and I started this business, we would answer customer calls, and new hires would do this when they joined the company. This has remained a core part of our DNA, with all the new hires joining Wayfair in Boston today still listening to real customer calls on their first day with the company. Technology is central to our business and to our competitive advantage, but staying as close as possible to the customer is the driver of our success and our culture. We have built a team of over 2,300 customer service and sales staff across 7 locations in the U.S. and 2 in Europe. All of the team are Wayfair employees rather than outsourced, enabling us to build a depth of expertise in the team and a true sense of caring for the customer that is key in our category. We give customer service agents the autonomy to handle complex issues and do what is best for the customer, avoiding the scripts and red tape that often get in the way of delivering the best results in a timely manner. This customer-centric approach resonates strongly with our team as seen through our recent employee engagement survey with 93% of our sales and service employees feeling empowered to solve customer problems. We have invested in building support teams across the customer journey from presales support through day of delivery. As our business has grown, we have scaled the number of people in our sales team with specialized product knowledge to ensure that we can provide the product expertise that our shoppers require. Matching a shopper who is exploring a more complex product category with a product specialist with deep knowledge in this space enables us to equip customers with the confidence that is integral to making an important purchase decision. Our data science enables routing technology, ensures that when these customers call us, they are connected instantly to experts in the categories they're shopping for, avoiding the frustrating phone menu selections to fight through before they are connected to a live person. The orders with complex issues that can't be resolved on the first contact or through our extensive self-service options, we provide customers with a dedicated service consultant to handle their order issues until the problem is fully resolved. Our proprietary technology and analytics provide our team members with extensive data insights on customer orders and allow them to intervene proactively when issues surface, such as delays in transit or back-ordered items. Our testing have shown this proactive outreach can raise customer NPS significantly compared with situations in which issues are not managed proactively for customers. Finally, delivery is often a source of anxiety for customers and an area that we believe has been overlooked historically in our category, as other players have not had the national scale or customer focus necessary to build the best possible delivery experience. In the geographies where we have established our own last mile delivery agents, customers can use Day of Delivery Tracking on their mobile device to track the expected arrival of their items. Additionally, in each of these locations, there's a home delivery consultant that customers can speak with live to find out more about their delivery and resolve any issues they may have. Coupling leading technology with the ability to speak with informed and empowered members of our customer service team puts us in an ideal position to bring customers a great experience throughout. I will now turn the call over to Michael to discuss our Q2 financials in more detail.
Michael Fleisher: Thanks, Steve, and good morning, everyone. I will now provide some highlights of the key financial information for the quarter with more detailed information available in our earnings release and in our investor presentation on our IR site. In Q2, our Direct Retail business increased 49% year-over-year to $1,641,000,000, representing year-over-year dollar growth of approximately $540 million. Our total net revenue increased 47% year-over-year to $1,655,000,000. We're delighted with the dollar growth in revenue that we are seeing. As Niraj mentioned earlier, Way Day added further strength to our future results, and we're excited to develop this event further for customers and suppliers next year. Our KPIs, which we report on a consolidated global basis, showcased the extremely strong response we're seeing from our customers with many KPIs reaching all-time highs. In addition to our active customer base growing by 34% year-over-year in Q2, purchase frequency, as measured by LTM orders per active customer, grew for the seventh consecutive quarter to a new high of 1.82. And orders from repeat customers grew by over 60% in Q2 year-over-year. Turning now to our U.S. business. Direct Retail net revenue increased to $1,397,000,000 in Q2, up 43% year-over-year, representing year-over-year dollar growth in the quarter of approximately $420 million. Direct Retail net revenue from our international businesses in Canada, the U.K. and Germany collectively increased to $244 million, up $118 million versus Q2 last year. Our offer is resonating with customers in international markets, and we're very pleased with the market share we're taking as a result of our long-term investments outside the U.S. I'll share the remaining financials on a non-GAAP basis, excluding the impact of equity-based compensation and related taxes, which totaled $32 million in Q2 2018. For a reconciliation of GAAP to non-GAAP reporting, please refer to our earnings release on the IR site. Our gross profit for the quarter, which is net of all product costs, delivery and fulfillment expenses, was $386 million or 23.3% of net revenue, consistent with our near-term expectations for gross margins in the 23% to 24% range. We're continuing to see attractive opportunities to invest ad dollars behind the healthy conversion and repeat rates our customers are demonstrating. Q2 advertising spend of $178 million or 10.7% of net revenue represents year-over-year leverage of over 30 basis points, as we invest in engaging both new and repeat customers and benefit from a growing base of repeat customers who require a lower level of ad spend per dollar of revenue. As a reminder, the year-over-year leverage we delivered is despite the negative mix shift impact from our international business, which runs at a higher ad spend as a percentage of revenue due to its lower base of repeat customers and continues to outpace the revenue growth of the U.S. business and take share. Looking out to Q3, we're comfortable leaning in on ad spend, while maintaining our overall 1-year contribution margin payback target, given the ongoing strength we're seeing in our customer KPIs. We, therefore, expect overall ad spend as a percentage of net revenue to increase sequentially in Q3 versus Q2, as it did last year, while still showing a modest amount of year-over-year leverage compared to the 11.8% level of Q3 last year. Our non-GAAP selling, operations technology and G&A expenses are driven primarily by compensation costs and in Q2, totaled $211 million. As I highlighted in detail on our last earnings call, we are continuing our ramped-up hiring across the business as we invest further based on the results we are seeing in our 3 main investment areas of building out our international capabilities, developing our proprietary logistics network and increasing our penetration of categories and services where we have historically under-indexed. Our KPIs have strengthened further in the first half of 2018, and we feel extremely bullish about how the customer is responding to the investments we're making. Hiring truly great people is central to this long-term approach to growth, and we are taking a high conviction approach to building talent across our business. In the second quarter, we added 960 net new employees for a total of 9,713 employees as of June 30, 2018. Approximately 650 of the net new employees in Q2 were in OpEx areas, such as marketing, merchandising, operations and technology, similar to the numbers we added in Q1. Our employer brand is showing great strength as awareness of our business and the careers we offer has grown. In the first half of this year, we added over 1,300 net new employees in these areas compared with less than 900 in the whole of 2017. And following the considerable success of our campus recruiting activities this year, we expect that Q3 net adds in these areas will remain at the elevated levels seen in Q1 and Q2 of this year. The incredible success of our recent hiring has allowed us to secure top-notch talent at a faster pace than we imagined at the beginning of the year. As a result of this higher-than-expected level of hiring in the first 3 quarters of the year, we expect that many of our initiatives will be appropriately staffed, and we, therefore, anticipate a sizable sequential step-down in hiring in Q4. We think the step-down will be in a new more normalized growth level, which will then lead to sequential OpEx leverage showing up in the financials as we move through 2019. These new hires take time to on-board and ramp up, and many of them are focused on medium- and longer-term initiatives within our 3 main investment areas that will not contribute meaningfully to revenue right away. This accelerated headcount growth will, therefore, weigh on our near-term profitability, but we believe they are the right investments to make given the scale of the opportunity we see ahead of us, the success we have seen to date with the prior investments we've made and the positive reaction we are seeing from our customers. Across our strategic priorities, we have always invested in a way that best serves our customers over the long term, and we do not attempt to match spending in a particular quarter with revenue in that quarter. This approach has served us incredibly well historically, and we would not be adding to our employee base at these levels if we weren't incredibly bullish about their ability to help us continue capturing share of the approximately $600 billion total addressable market we see ahead of us. Turning to our logistics investment. The build-out of our CastleGate and WDN facilities in the U.S. and internationally puts us in a strong position for continued growth. It does mean that unutilized rent continues to weigh on our P&L in the $5 million to $8 million range per quarter in OpEx. Adjusted EBITDA for Q2 2018 is negative $35 million or negative 2.1% of net revenue. Adjusted EBITDA for the U.S. business in Q2 was $7 million. And adjusted EBITDA for the international business was negative $42 million, as we continue to invest in our 3 international countries. Non-GAAP free cash flow for the quarter was negative $8 million based on net cash from operating activities of $48 million and capital expenditures of $56 million. CapEx spending was 3.3% of net revenue for Q2. For Q3, we expect CapEx to be 3% to 4% of net revenue. As of June 30, 2018, we had approximately $585 million of cash, cash equivalents and short- and long-term investments. Before I turn to guidance for the third quarter, I want to briefly revisit our second quarter performance to provide some additional context. As Niraj mentioned earlier, at approximately $540 million of year-over-year growth, the second quarter represented the largest year-over-year Direct Retail dollar growth in our company's history despite a stronger comp in Q2 of last year. Part of this outstanding result was driven by our first-ever Way Day event in the U.S. and Canada in April, which resulted in the largest single revenue day in our history. For Q3 quarter-to-date, our growth in Direct Retail gross revenue is back to running at a more normalized level of approximately 40%. Setting guidance is always a difficult task given our rate of growth, and predicting the exact timing of the payoff from various initiatives adds an additional layer of complexity. The guidance we're giving for Q3 reflects that and our desire to be prudent when forecasting our mass-market consumer business where the customer has to show up every day. For Q3 2018, we forecast Direct Retail net revenue of $1.61 billion to $1.645 billion, a growth rate of approximately 36% to 39% year-over-year and representing year-over-year Direct Retail dollar growth of approximately $450 million. Within that, we expect U.S. Direct Retail year-over-year growth in the range of 34% to 36% and international Direct Retail year-over-year growth in the range of 50% to 60%. We forecast other revenue to be between $13 million to $17 million, for total net revenue of $1.623 billion to $1.662 billion for the third quarter. For consolidated adjusted EBITDA, we forecast margins of negative 3.7% to negative 4% for Q3 2018. We expect international adjusted EBITDA to be negative $45 million to negative $50 million in Q3 as we continue to add resources and ad spend in Canada, the U.K. and Germany. In the U.S. business, we expect to deliver adjusted EBITDA margin of approximately negative 1% as we invest primarily in headcount to build continued scale in our primary market. As I highlighted earlier, we expect the rate of hiring to continue at elevated levels in Q3, and this will weigh on Q3 profitability, before an expected sequential reduction in the rate of hiring in Q4 as we both slow the pace of hiring substantially and start to see the leverage of the larger employee base phased off on our many growth initiatives. We remain incredibly bullish about our business, both in the near term and long term. The investments we have been making to bring our customers the best possible offering are clearly working with strength across our customer KPIs and our market share growing, as a result. We plan to continue investing in these strategic priorities and are excited by the scale of the opportunity that we see in front of us and our ability to keep winning as we go after it. For modeling purposes for Q3 2018, please assume equity-based compensation and related tax expense of approximately $36 million to $38 million, average weighted shares outstanding of 89.8 million and depreciation and amortization of approximately $32 million to $34 million. Now let me turn the call over to Niraj before we take your questions.
Niraj Shah: Thanks, Michael. Steve and I are very excited about the growth of our business this year and the position that we have put ourselves in to take advantage of the opportunity we see ahead of us, both in the U.S. and internationally. We are extremely proud of our growing team of almost 10,000 people and the initiatives they are driving to bring customers a terrific experience when shopping for the home online. Dollars in the home category are continuing to move online, and we believe we can keep taking an outsized share by delivering the best customer experience with vast selection, inspiring visual merchandising, fast and convenient delivery and world-class customer service. With that, I'll now ask the operator to open up the line, so we can answer a few of your questions.
Operator: [Operator Instructions]. And your first question comes from the line of Peter Keith with Piper Jaffray.
Peter Keith: I wanted just to ask a bigger-picture question around free cash flow. I know that you guys have historically guided the business that you want to achieve positive free cash flow on an annualized basis, that clearly, you've made very successful logistics investments, but you're looking at, probably, your third year in a row of negative free cash flow. Just thinking forward, as you're building out China, do you feel like you're now sort of passed that CapEx ramp such that if free cash flow -- positive free cash flow will begin to flow? Or do you feel like logistics are still building and getting their returns, and so it will push that free cash flow target out further?
Michael Fleisher: Pete, it is Michael. Let me start, and maybe Niraj may want to add. I think that you've seen the -- the CapEx growth, it's sort of accelerated for a while. I think now we're sort of at that sort of running sort of solidly 3 percentage of revenue. And I think we guided again this quarter to sort of run at that. There's clearly a set of ongoing CapEx investments we're making as we continue to sort of expand and build out the logistics network. But remember, we went through this period where we like have this intent sort of build it first instead, right, so to get the first thing built. That went from 0, no CapEx, to sort of building it. I think we're through that phase. Now we're adding on to it. And obviously, the scale of the business is growing dramatically during that time frame. So the CapEx dollars, even though they've grown some, versus the sort of overall scale of the business and what the business can generate are quite different. I do think we're still on a path over time to free cash flow breakeven and then positive. That's still the goal. But as you can see in this quarter and our guide for next quarter and the things we're trying to invest in, we're going to always balance that with making the right long-term investments for the business. I don't know if Niraj wants to comment on China and some of the other rollout.
Niraj Shah: I guess, the thing I would comment on, China, what we would do in China is not going to be particularly CapEx-intensive. The operations that are more CapEx-intensive tend to be ones that have more automated sortation, things like that. Those tend to be integrated in with the transportation, whereas in China, what you -- you have warehousing, but they're effectively building full containers, you're doing [indiscernible] truckload, and that's more manual. What I would say is -- the other thing to think about, I wouldn't think about free cash flow as being entirely a function of kind of CapEx side of fulfillment. Also, just keep in mind, when you think about rate of growth, you think of a 20% variable contribution margin, you think of a flow-through into EBITDA, we believe we can grow at a significant rate on an ongoing basis. And so you -- if you give it $1 growth, you see that continuing to build. And while in this recent period, we've ramped headcount -- Michael made some comments also about headcount, how it's going to moderate to the hiring as we get to the end of this year. And so what you'll see is you'll see leverage on that line, and you have a flow through EBITDA, that will also create cash flow as you roll forward.
Peter Keith: Okay, very good. And just maybe to close it out, on the logistics, could you just give us a quick update on some of the metrics in terms of like how many millions of square feet you now have with CastleGate? And with WDN, I think you said 25 facilities. Can you remind us on where you're targeted by year-end?
Michael Fleisher: Yes. The square footage number hasn't changed in this quarter because we didn't open any [indiscernible] and we continue to add the smaller footprint DAs. So I think the last number -- I'm just trying to find -- the last number I gave was an 8 million square feet in total or something like that, and that number is still good.
Niraj Shah: In terms of the delivery agents, the DAs, the 25 number, we're continuing to expand markets. Ballpark, think of it as 1 to 2 a month as average. We mentioned this quarter we had 2 that rolled out this quarter, so it's not exactly 1 to 2 every month. But we continue to roll those out. Remember, those are fairly small buildings. And we've done most of the major markets. We're kind of on the secondary market. But when we do get to roll them out, it's a significant benefit because of the jump in Net Promoter Score, and we have the density to the -- when you look at the unit cost of the delivery. We have the density to make that work, so we're going to continue to grow with that.
Operator: Your next question comes from the line of John Blackledge with Cowen.
John Blackledge: A couple of questions on the guide and then a question on the logistics. So on the guide, the modestly negative U.S. EBITDA in 3Q being driven by higher headcount, Michael, could you just discuss the accelerated headcount growth? What areas again? And then the international revenue guide, I think I heard plus 50% to plus 60%. Is the decel from kind of 2Q, 1Q levels? Just kind of any color there, Way Day impacts kind of skewing the growth rate for international in 3Q. And then for Niraj, on the discussion on inbound supply chain investments, how long will it take to ramp this program? And are you aware of any competitors that's kind of taking this approach?
Michael Fleisher: Great. I'll start. On the guide and the headcount growth, as we talked about -- and you can refer back to last quarter's call because we kind of went in-depth there and decided to not do it again this time, but we are really hiring across areas of the business. Obviously, there's sort of key critical areas like engineering where we've had really good growth in that team, and we'll continue to do that. And the thing I'd point out is that we had a -- we really have been able to sort of find the type of talent, and we built the recruiting team to sort of find the type of talent we want in a faster way than, I think, we anticipated at the very beginning of the year. And so though it's accelerated, and I'm using those words, it's -- what we're really doing is we've been able to do what we were trying to do over 4 quarters in, really, 3 quarters. And so we'll continue to hire a substantial number of people in Q4, but it will be a lower number than it was in Q1, Q2 and now Q3. And I think, in part, that's because people, across the spectrum of the folks we're looking for, right, great operations people, great merchandise people, great marketing folks, great engineering folks, the talent that we have been able to add to the team, when you start to look at the profiles and backgrounds of these folks, has been stellar. The other side of it is we've built out a substantial campus recruiting program, and the quality of people we're getting out of top-notch MBA programs in places like that has also exceeded our expectation. And so it's across all areas of the business. And as we talk about places we're investing, and Niraj spoke about some of the outdoor categories, and we're talking about the logistics build-out, each one of those has a team of people, a cross-functional team, that touches all of these disciplines faced off against sort of building that. So you think about design services and what that team looks like in terms of the marketing folks, the engineering folks, the product folks, the operations folks that sort of go execute on that at scale with our customers, that's really what we're sort of -- those people are coming onboard to do. To answer the question on international growth, I think a couple of thoughts there. One is we did run the Way Day program in Canada, so that was a positive spike to the Canadian business like it was to the U.S. business in Q2. And so there's a little bit of that impact. And then the other thing is, remember, the international businesses are 3 separate businesses. There are very different points in their life cycle, and some of them, Canada being a good example, are starting to get to sort of a meaningful scale at which where their growth rates, even though their dollar growth will be remaining quite high, their growth rates will be a little lower. I think if you think about the dollar growth of the guide compared to what the international business did in Q1 or Q4, you'll see that the dollar growth is sort of remaining strongly what we're guiding.
Niraj Shah: And this is Niraj. Just to add, so on international, I think, yes, if you look, we were kind of a $90 million range, sort of popped up here with the Way Day in Canada, but we're going to see continued solid growth there, we believe. In terms of the inbound supply chain services, I think what we're seeing is competitors, in general, have not invested into logistics in the same way that we believe one frankly should and would benefit from. Obviously, Amazon is a notable retailer who has invested in logistics, but if you hold them aside, you really don't see that out there, and we think it's one major source of benefit, particularly when you think about the goods we sell because they're relatively bulk, to me, they tend to be low dollar value per cubic foot. We have a subset of goods that are prone to damage. These attributes make logistics even more valuable, particularly in a world where a 2-day goes to next day, goes the same day. So we think we have an advantage there, and we think as -- if you think about the platform, there's a lot of benefit we can offer to not just our customers but our suppliers by providing these services. So that's what -- that's why we continue to be aggressive in building it now.
Operator: Your next question comes from the line of Oliver Wintermantel with MoffettNathanson.
Oliver Wintermantel: I had a question regarding tariffs and the impact on Wayfair. If you maybe could remind us what your imports are from China. And out of these imports, what are direct imports? And how much is the indirect imports?
Niraj Shah: Sure. Yes, so I think the thing to keep in mind is tariffs are going to affect us a lot less than they will virtually every other retailer. And the reason is if you think of us as a platform, we effectively desire to sell every item from every supplier in the market. And so we have goods on our platforms that are manufactured in Asia. We have goods on our platform manufactured in the United States. Certain industries are all in Asia. Certain industries are all in the United States. Certain industries are -- different suppliers source different ways. So we have all of those goods. I think our actual mix -- I don't know the exact number. Obviously, a significant amount come out of Asia, which is China but also Vietnam and Indonesia. And what you find is that if you look at kind of the global amounts by category and you break it out, our sales, and we've actually looked at this, not terribly different than that. The reason we get hurt less than other retailers, other retailers made concerted decisions. So if they source specific outdoor furniture, and they decided to source it from one supplier in China versus one supplier in Indonesia, and then there's a tariff, well, if they were sourcing from China, they then will bear the cost of the tariff. Whereas we're sourcing from both those folks, and we're not buying any inventory. It's the supplier's inventory. So if some suppliers get advantage relative to other suppliers, frankly, they'll do better or worse to take advantage on our platform because the consumer will decide where they want to shop in terms of whose item they want to buy. And so we saw this with Brexit. When things happen or there's an abrupt shocks, it does create demand kind of changes. But because of the nature of our platform, 2 different things happened. One is basically we are not that affected. Suppliers then tend to rebalance what they do over time. The second is -- I actually think these things have less of an impact, but ultimately, it affects the whole market, and so the -- it's basically just an inflationary sort of driver to the consumer, which then gets absorbed. But frankly, we tend to feel the right things out there.
Oliver Wintermantel: Got it. That's helpful. And just one follow-up to Way Day. If my math is correct, the repeat order is up 62% in the quarter, and the new customer is up, 30 points. So the repeat order is up quite a lot, but the new customer growth -- order growth is phased relatively flat. So is it fair to assume that Way Day was more -- did you see more repeat customers -- of your repeat customers come back in by Way Day? Or is that not the case?
Niraj Shah: Yes. I wouldn't want to look at it like that way. We found Way Day to be very successful for both. I mean, if you look at our share of orders that are repeat, it ticked up from a year ago at 61%, you get to 62%; a quarter ago, 64%, now we're 66% of orders are repeats. So repeat has been an ever-growing flywheel. A quarter ago, repeat was up just over 50% year-over-year. This quarter, it was up 60%. New customers in the last quarter were -- was up by 25%. This quarter, it's up 33%. So we set good momentum on both fronts. Way Day we saw specifically good momentum on both fronts. And repeat continues to take share as a portion of the total simply because once we get a customer, the experience is very delightful to the degree that they start shipping more and more of their spending to us. But we're continuing to get more and more new customers at a strong pace. And these are our active customer count now up to 12.8 million kind of bulk -- back of that. So both numbers are actually quite strong, if you look at the trends now.
Operator: Your next question comes from the line of Seth Basham with Wedbush Securities.
Seth Basham: Mike, my question is around your logistics investments. You talked about higher Net Promoter Scores from your Wayfair Delivery Network. Have those Net Promoter Scores been translating into higher repeat order rates and higher revenues?
Niraj Shah: Thanks, Seth. The short answer is we think so. The long answer is it's net -- you need a long period of time to try to measure that. It's very hard to isolate that because there are so many other things we continue to improve on in that same period. When we've done look-backs and what we've found is that Net Promoter Score is correlated to lifetime value and repeat growth. So we use Net Promoter Score as sort of a near-time measure of that, and we use kind of 3- and 7-, 14-day repeat rate as indicators of long-term rate, and we do look-backs to make sure that they stay very correlated. I can't specifically tell you for the large parcel home delivery operation, it's increasing Net Promoter Score, what it is specifically driven, but you can't isolate that separately with enough data. But I would believe the answer is yes.
Seth Basham: Fair enough. And secondly, as it relates to logistics, from a gross margin standpoint, when would you expect less pressure from the logistics investments? And from the operating margin standpoint, when should we see less of a burden of the unutilized rent? If you're not opening new CastleGate warehouses and sales keep rising, I would expect that burden to come down, but you've signaled that's remaining in the $5 million to $8 million range.
Michael Fleisher: Yes. So what we said for a while now is that we're -- there's a little bit of a drag from the addition of the logistics network, and that's showing up in COGS, and you'll see that when the Q comes out and the details. And that, like last quarter, continued this quarter. And that will, over the course of the coming quarters -- and we haven't sort of put a pin in sort of exactly when, but I think over the course of the coming quarters, you'll start to see some of the benefits of that flow through. In other words, you'll start to see some of the efficiency gains in the COGS line and particularly, in the shipping part of the COGS line as we kind of operate a lot of that network at more peak or full efficiency. On the unutilized rent piece, we are continuing at CastleGate network building. So Toronto was the most recent one, and then there's others that are sort of going to flow in over the next several quarters. And so -- and when that happens, you effectively sort of rebalance the whole network of those CastleGate facilities. But I think as we continue to grow, the growth of CastleGate capacity will be tied to sort of the growth of the business. But we will, for some period of time, have an ongoing unutilized rent piece as we're never going to let the network right now get to a place where you're operating it at 100% able to flow all of that rent through COGS because you got to be anticipating a far rate of growth. You got to be anticipatory, and make sure that you've got enough facility space ready as the business grows and as you hit peak demands like holiday.
Niraj Shah: One other comment quickly on gross margin, too. Just keep in mind, the movements you see in gross margin, I wouldn't directly correlate those to being driven by logistics. Some -- at a high level, some puts and takes in gross margin when you follow it from quarter-to-quarter. For example, a positive thing that happened to gross margin would due to shipping savings, but a negative thing could be when we're ramping a new logistics facility could be a drag. But then the category mix is a drag. So we have a lot of new categories ramping nicely, which start at lower gross margin. The international mix where international is growing faster is a drag because international does not run at the same gross margin as the U.S. yet, and that's typically a function of scale. But then the buying power, as we get bigger, that's the benefit to gross margin. We get better and better wholesale pricing. And then private label, which has grown very nicely for us, is a benefit. And so when you net all those in and you see gross margin sort of not moved that much, stay in that 23% or 24% range, you're actually seeing a lot of positive things there that are helping us absorb effect that international and category mix, which are both huge future drivers of benefits for us. They're not actually providing a negative drag because of the benefits we're getting elsewhere. So you got to kind of net them all in, and obviously, the unutilized new logistics facilities and other investment area, that's getting absorbed also. So made a lot of positive things in there, too.
Operator: Your next question comes from the line of Akshay Bhatia with Bank of America Merrill Lynch.
Akshay Bhatia: One thing that is becoming more prevalent in the e-commerce space is advertising within the marketplace. So wanted to ask you what Wayfair is doing on the advertising front? Maybe what opportunity you see there? And what tailwind do you think this could be the margins longer term?
Niraj Shah: Yes. We think advertising is an area of very high potential benefit. To be fair, on one hand, we think we're very excited about it. When we talk about hiring people for [indiscernible] and the investments we're making on headcount, this is a great example of an area that, over the last couple of quarters, we've really stepped that up with a great team that I'm very excited about. A lot of the early work they're doing, but then, to be fair, it's early work. So in terms of when its real impact on the P&L, it's still a little ways out. For us, we think advertising is going to be a little more nuance on what some other folks can do where they're just kind of plaster it on the top, because that doesn't affect the customer experience negatively because, for example, if you're selling batteries, whether you let Duracell or Energizer dominate the page, it doesn't matter as long you have both on Page 1 and Page 2. We need to be thoughtful in terms of making sure that we use the diversity of product, the right styles for the consumer to continue to engage them. But then there's things we can do, for example, to let suppliers help launch their new products and get the momentum more quickly and help fund that. So we're actually very excited about some advertising products that we have underway. But in terms of the P&L impact, I'd both say I'm excited about how big it can be, but I'd also say that, that's a ways out.
Akshay Bhatia: Got it. And maybe as a follow-up, can you talk about what you're doing differently on the marketing side that can you still drive leverage while adding nearly 1 million customers? Anything to call out there? Or is it really just the repeat rate growing?
Niraj Shah: I think the key thing to keep in mind what we do on our paid advertising, and this is a very unique thing for us when you compare us to other folks, is we built all our advertising technology in-house. And so when you think about building your own ad tech, being able to then take your first part of data and really, nuance clickstream data, your own algorithms are at home to your categories and your customer kind of life cycle and then take those and integrate them into the advertising products, I'd say, that's a huge benefit. We then kind of further fuel that. Pinterest, Facebook, Google have all publicly named us as a partner with whom they codevelop ad units who's their early alpha and beta partner and things. Google mentioned us PLAs and trusted stores. Facebook mentioned us on their earnings call about a year ago. And so what we found is that by being an innovator and understanding every bit of the nuances on how these platforms work on the new products and then building our own ad tech for integration, for bidding and for your own algorithms, you can always sort of further progress what you can do. And obviously, the trends -- we have trends on data that we use. So there's no reason why -- if you think about -- when we think about 12.8 million customers, that's less than 10% of the potential customers. We think that about 70 million households in the United States, 70 million households in Europe and Canada, 140 million, 12.8 million is still not that many. So there's a lot of new customers to get. And then, obviously, the share of wallet, it's a huge opportunity. But to your point, repeat is, obviously, a big opportunity, too. So I think building our own ad tech has been a huge advantage, but there's also a lot more customers to get, so that's why we keep adding.
Operator: Your next question comes from the line of Michael Graham with Canaccord.
Michael Graham: Just on the customer growth, you added nearly 1 million customers. Any high-level thoughts on the split between domestic and international? Like are you still seeing really robust U.S. customer growth? And then you had made a comment in the past about margins in a country can be the lowest when you really start to lean in on the brand advertising spend. Can you just refresh us on where you are in that cycle in terms of leverage or deleverage from ad spend in some of your different countries?
Niraj Shah: Yes. So we're seeing really good customer growth in the U.S. and international, so we're very excited about that. In terms of where we are in the international market, we've said that Canada is the farthest along, and there, we have really nice awareness, not quite the U.S. level but quite high. U.K. is ramping very nicely. And then in Germany, we're in the early days there. So we just -- for example, television advertising, we only watched that in the last month or 2. So each country is in a different stage of the evolution. Germany is, I'd say, at the beginning of really starting to grow the customer base. U.K. has a nice customer base, still in a rapidly growing stage, but it's far and off along. You have a growing repeat base, albeit not that far along. And then Canada is farther along. But all are still very much in that ramp phase, which is why when you look at the kind of aggregate P&L impact and you see the losses, that's because it doesn't -- in aggregate, they still don't have enough of a repeat base to get that amortization, but it's ramping, as I said, very nicely.
Operator: Your final question comes from the line of Brian Nagel with Oppenheimer.
Brian Nagel: So a couple just near-term modeling questions, if I may. First off, with [indiscernible], we talked a bit about gross margins already, but during the quarter, we saw somewhat of a bounce back than we saw on the prior quarter, obviously, still looking to your longer-term targets. But given what you were saying, I guess, in response to a question before, is it fair to assume that we should see the gross margin rate continue to tick a bit higher through the second half of this year? And then my second question, obviously, a lot of conversation around hiring and the plans to maybe pull back on that a bit in the fourth quarter. Can you -- can we -- can you help us understand better -- like I understand you don't give fourth quarter guide or [indiscernible] fourth quarter guidance. Can you help bake that other delta within the P&L could that be? And looking beyond '18, like how long do you think this maybe a more subdued rate of hiring, how long should that persist?
Niraj Shah: Sure. Let me kind of quickly answer both questions, and then Michael can provide more color. On gross margin, here's the way I think about it. What I -- let me tell you, there's a lot of puts and takes. And so in any given quarter in the near term, international grows really fast. Well, that's a drag. Some of the new categories we're investing in and seeing great results, that's a drag. But then, as you mentioned, there's a lot of positive things for gross margin, too. So I wouldn't necessarily say in the second half, you should see it grow. I wouldn't say in the second half, you should it drop. That 23%, 24% is a range when you net in all these puts and takes. If you take a longer-term view, you say, a number of years out, what I expect the gross margin could rise nicely between now and the number of years, I'd say, yes, because fundamentally, the long-term trends -- the positives of the long-term trends are very significant. And in fact, the things that are drags become less a drag, and they actually be kind of erode being a drag over that time frame. So the long-term view on gross margin is significantly positive, but in the near term, you do have a lot of movement there. And then on hiring, I'll let Michael get into specifics. I just want to clarify. So we're going to continue to be hiring. It's just the recent rate has jumped up significantly, and we've built incredible recruiting capacity, so taking advantage of that, and that, right now, also includes some are hires, business school recruiting all this kind of coming onboard. We don't want to not take advantage of that, so we're taking advantage of that. That said, we're going to drop the net increase rate down, but it's still going to be a net increase continued growth. But from a financial model standpoint, you actually will start seeing sequentially nice leverage once we absorbed sort of the [indiscernible] takes a little while to roll through them. Michael can be more specific.
Michael Fleisher: Yes. I mean, the only thing I'd add to that is I want to be clear that we're not saying we're not going to still hire a lot of folks in Q4, we are, just not at the pace we've been hiring in Q1, Q2, Q3. So I think you will continue to see sequential increases in the OpEx spend x expense tied to that hiring. I just think that's going to start to ameliorate over the coming quarters. Remember, though, that like the folks you hired in Q2 show up in Q3 comp and Q4 comp, right, it continues to sort of build. And then the only other thing I always note for folks is to remember that in Q1, you sort of reset on all of your tax -- the tax payroll, payroll taxes, and therefore, that tends to sort of an impact our OpEx spending as well there. But as I said on the -- in the talk back and as we sort of give a little more color on, we will bring that rate down. I think that will be a more sustained long-term rate. We are going to continue to add great people. The business is growing, obviously, at an incredible pace, and -- but at the same time, you'll start to see leverage over the course of '19 in that line as we don't keep hiring at this accelerated pace.
Joe Wilson: Thanks, everyone, for being on the call with us today.
Niraj Shah: Thanks, guys.
Operator: This concludes today's conference call. You may now disconnect.